Operator: Ladies and gentlemen, thank you for standing by. Welcome to the American Tower Fourth Quarter and Full Year 2021 Earnings Conference Call. As a reminder, today's conference call is being recorded. Following the prepared remarks, we will open the call for questions. [Operator Instructions] I would now like to turn the call over to your host, Adam Smith, Vice President of Investor Relations. Please go ahead, sir.
Adam Smith: Good morning and thank you for joining American Tower's fourth quarter and full year 2021 earnings conference call. We have posted a presentation which we will refer to throughout our prepared remarks under the Investor Relations tab of our website, www.americantower.com. On this morning's call, Tom Bartlett, our President and CEO, will provide an update on our Stand and Deliver strategy. And then Rod Smith, our Executive Vice President, CFO and Treasurer, will discuss our 2021 results and 2022 outlook. After these comments, we will open up the call for your questions. Before we begin, I'll remind you that our comments contain forward-looking statements that involve a number of risks and uncertainties. Examples of these statements include our expectations regarding future growth, including our 2022 outlook, capital allocation and future operating performance; our expectations regarding the financing plan for the CoreSite acquisition; our expectations regarding the impacts of COVID-19; and any other statements regarding matters that are not historical facts. You should be aware that certain factors may affect us in the future and could cause actual results to differ materially from those expressed in these forward-looking statements. Such factors include risk factors set forth in this morning's earnings press release; those that will be set forth in our upcoming Form 10-K for the year ended December 31, 2021; and in other filings we make with the SEC. We urge you to consider these factors and remind you that we undertake no obligation to update the information contained in this call to reflect subsequent events or circumstances. With that, I'll turn the call over to Tom.
Tom Bartlett: Thanks, Adam. Good morning, everyone. As you saw in today's press release, we generated strong results in 2021, while strategically deploying capital to assets that we believe will further enhance our future growth trajectory and augment our ability to continue to deliver compelling total shareholder returns for many years to come. The strength of our operational and financial results reflects the high-quality nature of our tower business model, the dedication of our talented global teams and our commitment to provide best-in-class service to our customers. It also reflects our commitment to sustainability and being a good corporate citizen which provides additional purpose and continues to be a focus at every level of the organization. Last year at this time, we presented multiyear targets for U.S. organic tenant billings growth and AFFO per share growth. And I'm pleased to be able to say that we're exactly where we thought we would be today as it relates to those targets. We continue to expect to average at least 4% in U.S. organic tenant billings growth from 2021 through 2027 on a reported basis, implying an average of at least 5%, excluding the impacts of Sprint churn. And as part of these projections, we anticipate an acceleration in U.S. organic tenant billings growth between 2023 and 2027, when we are targeting growth rates of at least 5% on a reported basis and at least 6%, excluding the Sprint churn. Similarly, on the AFFO side of the equation, we believe we are on track to average at least 10% growth in AFFO per share, on average through 2027. This includes a year of more subdued growth in 2022, as expected but also a recovery in growth rates in 2023 and beyond as the Sprint churn impacts fade and global secular growth tailwinds continue. 5G is probably the most significant of these growth drivers. And in 2021, we saw the early stages of transformational 5G network upgrades in multiple markets, including nearly $105 billion spent by U.S. carriers for critical mid-band spectrum and over $65 billion in CapEx deployed by carriers into network investments across our global footprint. With mobile data consumption expected to grow at an average annual rate of more than 25% over the next five years in the United States and at even higher rates in some of our international markets, we anticipate prolonged network investment cycles to drive compelling, sustained growth rates across our regions. And while we believe our macro tower assets will continue to drive the vast majority of growth and returns for the company as 5G advances, we're also excited about additional opportunities that we expect to arise from the accelerating cloud-based interconnected and globally distributed digital transformation that is in it's early stages today. We expect our recently closed CoreSite acquisition to augment our ability to capture potential upside from this transformation while enhancing the value of our existing portfolio of distributed communications real estate over time. We anticipate these expectations to be underpinned by the continued execution of the four strategic pillars in our Stand and Deliver strategy, growing our assets and capabilities, driving industry leadership, operational efficiency and extending our platform. As part of our commitment to growing our assets and capabilities to meet our customers' needs, we deployed more than $10 billion for tower M&A in 2021 focused on Europe, where we have meaningfully improved our long-term strategic positioning. We saw accelerated organic growth trends in the region throughout the last year and we expect those trends to continue, supported by data growth projected at a CAGR of 26% over the next five years across our major European markets. Separately, we added strategic financial partners, CDPQ and Allianz, who joined our existing partner, PGGM, creating a solid platform for future growth and investment ahead of what we anticipate being an exciting decade in the European marketplace. In addition to expanding through M&A, we further grew our asset base through our internal CapEx program by investing $1.4 billion, primarily to construct a record of nearly 6,400 new communication sites, along with deploying nearly $120 million towards our energy efficiency investments, primarily in Africa. These investments continue to generate returns that are among the highest in our portfolio. Through our talented teams and operational expertise, we expect to remain a preferred partner to support customers as they execute on their network build-outs which we expect to drive continued acceleration in our new site construction for the next several years, while advancing our sustainability efforts and commitment to a greener mobile future. Through our commitment to enhance our industry leadership, we've continued our focus on sustainability by accelerating our efforts to combat climate change, as evidenced by our recent adoption of science-based targets for carbon emission reductions. These targets represent direct and indirect greenhouse gas emissions reduction targets of at least 40% by 2035 against the 2019 baseline, as well as targets to reduce indirect supply chain emissions by at least 40%. To date, we've invested over $275 million in CapEx towards energy efficiency and reduction solutions which directly support our committed targets and initiatives. Concurrent with our emissions reduction targets and renewable energy investments, we are actively working on various land stewardship and social impact initiatives. We're a member of the World Economic Forum's EDISON Alliance 1 Billion Lives Challenge which aims to spur development of affordable and accessible digital solutions across health, finance and education to the underserved. Through our involvement, we engaged with an array of high-level country and regional platforms and committed our time, expertise and ideas to make digital access a top priority for all. Also this past year, American Tower was awarded a 2021 World Summit on the Information Society prize for our digital communities program which spans across India, Africa and Latin America and seeks to improve the quality of life and increase economic opportunity through connectivity. At the end of 2021, we reached a significant milestone of launching our 200th digital community in India and have set a goal to grow to 2,000 digital communities globally over the next five years, focusing on education, health care access, financial inclusion and career development. Finally, we advanced our commitment to diversity, equity and inclusion by implementing customized plans focused on talent development, recruitment and education to enhance our inclusive culture across our global footprint. We also continued our partnership with HBCU supporting critical infrastructure enhancement projects and engaging in academic and professional development opportunities for their talented students. Further, we extended our leadership position and NAREIT's Dividends Through Diversity, Equity and Inclusion CEO Council which addresses opportunities related to DE&I in the REIT and publicly traded real estate industry. Also, we stay on top of the best ESG practices, policies and actions within the REIT sector through active participation on NAREIT councils and initiatives. These accomplishments and areas of focus are reflections of our unwavering commitment to operating our global business in a sustainable way while guided by our core principles. We are also steadfast in driving operational efficiency throughout the business. Over the past several years, we've implemented shared service center model, executed on various cost control and process improvement initiatives and implemented site level enhancements that not only drive value to American Tower but also for our customers. An example of these initiatives is our use of drone technology to help us ensure the structural integrity of our sites. In 2021, our U.S. team demonstrated it's capabilities to scale up driving service revenue to it's highest level in over a decade supporting major carrier activity in preparation for 5G deployments. Looking ahead, we believe the investments we have made in the operating structures and processes that have been put in place are competitive advantages that will facilitate scalable expansion while converting meaningful top line growth to AFFO. At the same time, through our platform expansion initiatives, we've evaluated a range of new communications' real estate model to identify long-term growth opportunities that could complement and leverage our global tower presence, further advance our position as a market leader ahead of emerging technological trends and create attractive returns for our stakeholders. Through this process, we believe advanced wireless network technologies, in conjunction with the shift of computing power from the core to the edge, will accelerate digital transformation across many industries. We've only begun to understand the true capabilities and performance of widespread 5G coverage. And with new applications on the horizon, we think mobile edge computing will become a critical component of converged neutral host infrastructure. We believe today's 5G Edge, deployed in public or private networks with regional site hosting, will evolve to distributed tower-centric locations. We think future AI and machine learning, edge-optimized solutions supporting massive IoT devices and immersive experiences enabled with AR and VR, such as gaming, health care and education, will drive latency-sensitive edge deployments across our strategically positioned set of assets. We expect this evolution and these deployments to drive a meaningful TAM with our distributed macro tower assets ideally located to host such computing infrastructure and an integrated grid that enhances our competitive position and service offerings. Together with the CoreSite and our other data center assets, we have the scale to enable a richly interconnected hub-and-spoke edge-computing model that extends today's data center multi-cloud ecosystem out to our distributed neutral host sites, greatly enhancing our probability of success at the edge. On that note, I'd like to welcome the CoreSite team to the American Tower family. And together, I look forward to executing on our long-term development plan, while driving meaningful incremental value to our macro tower sites over time. As we move forward, we remain focused on further enhancing our investment-grade balance sheet which has been a critical element that has enabled us to grow and we expect it to remain an important component of our future success as well. We are committed to maintaining our investment-grade credit rating. And with the strength of our balance sheet as our foundation, we will continue to apply our Stand and Deliver strategic framework to capture value as 5G and growing mobile demand present compelling growth opportunities for American Tower. In closing, we believe that our comprehensive global portfolio, strong balance sheet, prudent capital allocation strategy and continued focus on sustainability position us to extend our track record of driving solid growth and returns as we embark upon an exciting new era of digital transformation enabled by 5G. We will continue to execute on our Stand and Deliver strategy and follow the same values and discipline that have fueled our track record over the last two decades. As we continue to build and strengthen our diverse comprehensive portfolio, while enhancing our operational capabilities, we believe American Tower is well positioned to support our global customer base as we enter a hyper-connected, digitally driven world. With that, let me turn the call over to Rod to go through our 2021 results and the details of our 2022 outlook. Rod?
Rod Smith: Thanks, Tom and thanks, everyone, for joining our call today. I hope you and your families are well. As you just heard from Tom, American Tower had another year of solid performance which included strong Q4 results throughout our global business. Before we dive into the details of our expectations for 2022, I'll briefly review our Q4 and full year 2021 results. To start, I'd like to highlight a few key accomplishments from the past year. First, 2021 marked another year of strong overachievement against our initial AFFO per share targets. For the full year, we posted consolidated and attributable AFFO per share growth of 13.7% and 11.7%, respectively. This is a demonstration of our ability to deliver solid total revenue growth, tightly manage operating costs and execute on strategically important M&A transactions, all while maintaining a thoughtful and disciplined approach to our capital structure. I'll also note, this is a great start towards achieving our previously stated objective of delivering, on average, double-digit AFFO per share growth between 2021 and 2027. Second, we delivered our third consecutive year of record new builds. As we've discussed previously, these newly constructed sites continue to be amongst our best uses of capital. And in 2021, we saw average day 1 NOI yield of nearly 12% over the nearly 6,400 sites we constructed. Finally, during 2021, we completed two strategic M&A transactions and, as a result, strengthened our position in the United States and Europe, two critically important markets for us. With that, let's dive into the details of our Q4 and full year 2021 results. Turning to Slide 8. In the fourth quarter, our consolidated property revenues grew by more than 13% year-over-year or over 14% on an FX-neutral basis. In our U.S. and Canada segment, property revenue grew 1.2%. This included an organic tenant billings growth decline of 0.5% or an increase of over 4% when excluding the impacts of Sprint churn. As a reminder, over half of the total Sprint churn commenced in 2021, primarily on October 1, as expected. International property revenues grew over 28%, with nearly 20% driven by contributions from our Telxius assets. International organic tenant billings growth was 5.7%, led by Latin America at 7.4%, followed by Africa at 7.3% and Europe at 6.6%. APAC grew for the second consecutive quarter, coming in at 1.3%. This was complemented by the addition of nearly 1,900 high-yielding, newly constructed sites across our international markets. Moving to adjusted EBITDA; growth was over 10% in the quarter, while the impacts of Sprint churn, combined with the addition of newer, lower-tenancy assets, drove a decline in adjusted EBITDA margin to 62%. Finally, consolidated AFFO per share grew 3.8% in the quarter or 4.3%, excluding the negative impacts of foreign currency fluctuations. This included nearly $140 million of year-on-year cash-adjusted EBITDA growth which was partially offset by the higher net cash interest expense, along with higher cash taxes and maintenance costs. As anticipated, the timing of these expenses was heavily back-end weighted in 2021, resulting in a material impact to the year-over-year growth rates in Q4. Meanwhile, AFFO per share attributable to American Tower common stockholders grew by 1.4% in the quarter. Turning to Slide 9. Full year consolidated property revenue growth was 14.5%, including organic tenant billings growth of 3.8% and total tenant billings growth of 11.3%. U.S. and Canada property revenue growth was nearly 9%, with organic tenant billings growth of 2.9%. This included contributions from co-locations and amendments of 3.2%; another 3% in growth from escalators; around 0.2% in negative impacts from other run rate items; and churn of 3% which consisted of around 1.8% in normal cost churn and the balance driven by Sprint. This was complemented by new asset contributions to tenant billings of 4.1% and approximately $144 million in higher straight-line revenues as compared to 2020. Our international property revenue grew by over 21% with organic tenant billings growth of 5.5% for the year. Overall colocation and amendment growth was 5.9%, while 3.8% came from escalators and 0.3% from other run rate items, all of which was partially offset by 4.5% of churn. This elevated churn was primarily concentrated in India, where more recently, we have started to see the churn rate moderate. Finally, with our recent expanded data center portfolio, we have introduced a new data center segment within total property, consisting of the newly acquired CoreSite and DataSite assets along with our existing Colo ATL facility. This segment contributed approximately $23 million to our total property revenue in 2021. Turning to Slide 10; adjusted EBITDA grew 16% for the year to nearly $6 billion. This included strong flow-through of organic tenant billings growth; $100 million in incremental services gross margin versus 2020; over $140 million in net straight-line growth, as well as around $300 million in contributions to growth from newly acquired assets, primarily in the U.S. and Europe. On a consolidated basis, adjusted EBITDA margins were down around 20 basis points as compared to 2020, primarily due to the impacts of Sprint churn in the U.S. and the addition of newer lower tenancy international assets which we believe are well positioned to drive meaningful margin expansion over time. We also grew consolidated AFFO by 15.4% and consolidated AFFO per share by 13.7% in 2021, with over $680 million in cash adjusted EBITDA growth from the drivers I just mentioned. This growth was partially offset by higher financing costs associated with our recent strategic M&A as well as a modest increase in maintenance CapEx and higher cash tax expense as compared to 2020. Finally, AFFO attributable to AMT common stockholders per share grew 11.7% year-over-year. With that, let's turn to our outlook for 2022. I'll start by highlighting a few key assumptions underlying our projections. First, we expect a strong year of new leasing activity across our operations, with anticipated gross new business contributions to total tenant billings growth nearly 7% higher than what we saw in 2021. This expectation is being driven by a few key items. In the U.S., the comprehensive MLAs we've signed over the last few years are continuing to result in solid levels of new business activity. In Europe, we expect an exceptionally strong year, boosted by our larger presence following the Telxius transaction. And across our developing market footprint, the demand for site continues to rise as next-generation network deployments advance. Second, we expect churn to be higher than historical levels in 2022. In the United States, this will be driven by Sprint churn we've discussed previously, with about $160 million in year-over-year impacts in 2022 versus 2021. Additionally, in select international markets, a handful of carrier consolidation events are temporarily driving churn higher. Third, we've layered in some preliminary assumptions related to our CoreSite financing. And finally, our initial outlook reflects estimated negative translational FX impacts of approximately $125 million for property revenue, $70 million for adjusted EBITDA and $55 million for consolidated AFFO versus 2021. Moving into the details on Slide 11, you can see we expect total property revenues of over $10.3 billion at the midpoint, representing growth of 13% or nearly 15% on a currency-neutral basis. This includes expected property revenue growth of less than 1% in the U.S. and Canada and over 14% of FX-neutral growth in our international regions. We also expect data centers to contribute roughly $705 million of growth in cash revenue to the Property segment in 2022. Turning to Slide 12 and unpacking the property revenue growth assumptions a bit, you'll see our expected organic tenant billings growth rates for 2022. I'd like to note here that our tenant billings metrics do not include contributions from the data centers segment. Looking at the United States and Canada, we anticipate growth of approximately 1%, in line with the 2022 expectations implied in the long-term projections we presented last year. This includes contributions to growth from colocations and amendments of roughly $150 million, representing solid double-digit growth versus 2021. We expect this to be partially offset by churn of over 5% which includes a 3.7% impact associated with Sprint. Turning to Latin America; we expect organic tenant billings growth of greater than 6% for the year, supported by solid gross colocation and amendment activity as well as additional growth from our CPI-based escalators which we anticipate to be around 300 basis points higher than in 2021. These items are being partially offset by higher churn in 2022, primarily related to Telefonica in Mexico as well as the continuation of Nextel churn in Brazil. With both events, we expect to receive settlement payments over the course of 2022, compensating us for the early termination of leases ahead of their expiration, where applicable. As is typical, these payments will fall outside of the organic tenant billings growth metrics. Moving to Africa; organic tenant billings growth is expected to be in the 6% range. We continue to see strong demand for our macro tower assets driving colocation and amendment growth of around 6.5% for the year. In addition, we expect escalators to be up as compared to 2021 by roughly 90 basis points. This will be partially offset by an expectation for elevated churn as carrier consolidation and some smaller market exit events from Q4 of 2021 work their way through our 2022 financial metrics. Meanwhile, in Europe, we're seeing the benefits of added scale from the Telxius acquisition, the early stages of 5G rollouts and low churn, all driving expected organic tenant billings growth of approximately 9% in 2022. This includes roughly 6% in contributions from colocations and amendments and escalators of around 4.5%. These higher escalators are being driven by the combination of higher CPI and the mechanics of having the Telxius assets in our numbers for the full year of 2022. Churn is expected to decline to around 1.5% as we benefit from the lower-churn Telxius assets and reduced cancellations across our legacy business as carrier consolidation events wind down. Finally, in Asia Pacific, we're guiding to 2% to 3% organic tenant billings growth in 2022, including churn of around 5%, representing less than half of the 2021 churn rate. At the same time, our outlook does imply a reduction to gross colocation and amendment growth contributions relative to 2021 levels as carriers in the marketplace continue to digest recent developments. With that said, we are encouraged by the market reforms aimed at improving the overall health of the telecom sector as well as more recent steps taken by the carriers to rationalize pricing and improve overall profitability in the marketplace. We think these steps could bode well for the long-term growth picture in India. Turning to Slide 13; at the midpoint of our outlook, we're projecting adjusted EBITDA of over $6.5 billion, representing year-over-year growth of 10% or nearly 11% on a constant currency basis. We continue to drive solid organic growth conversion rates and are complementing this through growth on assets acquired in 2021, including approximately $360 million in expected adjusted EBITDA from CoreSite in 2022. We are seeing some margin compression in 2022. This is primarily the result of Sprint churn in the U.S., along with the full year impact of the slightly lower-margin CoreSite and Telxius assets. That said, the benefits of our continued focus on operational efficiency are taking hold in our regional legacy businesses, particularly in Africa, where our commitment to sustainable energy solutions and strong cost controls are driving meaningful expansions in margins. Turning to Slide 14; we expect consolidated AFFO to grow by more than $380 million to over $4.7 billion, despite absorbing approximately $160 million in negative impacts to AFFO from Sprint churn. This includes $675 million in FX-neutral cash-adjusted EBITDA growth and the expectation for maintenance CapEx to be more or less flat as compared to 2021 as capital intensity remains in the 2% range. We expect this to be partially offset by approximately $55 million in higher cash taxes and $185 million in incremental cash interest expense, primarily associated with our preliminary CoreSite financing assumption as well as roughly $55 million in expected negative translational FX impacts. Additionally, we've layered in a common stock issuance assumption for the purposes of outlook in the first half of 2022, again, tied to the CoreSite transaction. Taking these assumptions into account, we expect our consolidated AFFO per share for the year to be $10.05, reflecting growth of 4%, or roughly 8%, excluding the impacts of Sprint churn. Finally, AFFO attributable to AMT common stockholders is expected to grow approximately 3% year-over-year to $9.70 per share in 2022. This includes an assumption of approximately $165 million in minority interest impacts related to our partnerships in Europe. Moving on to Slide 15, let's review our capital deployment in 2021 and expectations for 2022. In 2021, we declared nearly $2.4 billion of common dividend distributions, representing a year-over-year growth rate of 15%. We spent another $1.4 billion through our CapEx programs, over $500 million of which was dedicated to our development projects, including the construction of nearly 6,400 new sites across the globe. Finally, we deployed over $20 billion, including the assumption of debt to acquire the Telxius and CoreSite assets as well as a handful of smaller transactions around the world. We expect these new assets to drive meaningful accretion and shareholder value over time. Looking to 2022, our dividend remains a top priority. And subject to board approval, we expect to distribute approximately $2.8 billion to our shareholders, as we continue to increase the dividend in line with our stated long-term, double-digit growth targets. We also expect to deploy roughly $2.1 billion in capital expenditures, over 90% of which will be discretionary. Of our total discretionary capital spending, we expect approximately $270 million to be directed towards attractive organic development opportunities in our data center segment. On the tower side, we expect to deploy roughly $565 million in development CapEx, primarily for the construction of 6,500 sites in our International segment. Similar to 2021, we anticipate driving average day 1 NOI yields on these new builds of nearly 12%. As you can see on the chart to the right, these international new site investments have driven exceptional returns over time. In our earliest vintage, we're seeing average NOI yields of 46%. Sites built between 2010 and 2014 are yielding around 26%. And on the more than 26,000 sites we've constructed since the start of 2015, we're seeing yields in the 20% range, with room to expand as we continue to drive lease-up on these lower-tenured sites. Looking forward, we believe our international new-build program presents a significant opportunity to continue adding meaningful portfolio scale while achieving highly attractive returns. And we'll continue to prioritize site development opportunities as a key part of our capital allocation strategy over the long term. Turning now to Slide 16, we've laid out our current thoughts around the permanent financing strategy for our CoreSite acquisition. As always, the primary objective is for us to finance this transaction in a way that optimizes our capital structure within our investment-grade framework, minimizes dilution to our common stockholders and positions us to continue to opportunistically deploy capital in ways that maximize value creation for our shareholders over the long term. At a high level, we expect to get there through a combination of debt and equity issuances. The debt markets remain attractive. And as we have done in the past, we expect to be opportunistic as we seek to term out revolver and term loan borrowings into longer-term fixed rate instruments. On the equity side, we anticipate evaluating a number of alternatives, including common equity, mandatory convertible preferreds and private capital partnerships, much like we did for the Telxius acquisition in 2021. With that said, for the purposes of our initial 2022 outlook, we have assumed that roughly half of the $10 billion purchase price will be financed through a common equity issuance assumed to occur in the first half of 2022. As you can see on the slide, we anticipate that this will bring our leverage back down to the high 5x range while putting us on track to get back to 5x or below over the slightly longer term. Importantly, we remain committed to our investment-grade rating and have been working closely with the rating agencies throughout this process. As we continue to evaluate a number of potential options, particularly on the equity side, we will plan to keep you all updated as to our progress. In the meantime, we believe that the baseline case we have incorporated in our current outlook positions us well as we create long-term shareholder value with the CoreSite assets. Turning now to Slide 17 and in summary, we drove strong results in 2021, including compelling double-digit AFFO per share growth, record new build activity prudent, balance sheet management and the completion of several transactions that we believe will enhance American Tower's leading global position. As we look across our global footprint, we're encouraged by what we see as a long tailwind of secular technology trends that are expected to drive continued strong recurring demand for our critical communication infrastructure assets. In the U.S. and Europe, we're well positioned to support a continued acceleration in 5G activity as carriers deploy new spectrum assets and build out greenfield networks. Meanwhile, in our early-stage markets, we expect to benefit as operators look to upgrade and densify their mobile networks to meet ever-increasing mobile data demand, all of which we believe will translate into meaningful growth and attractive total shareholder returns at American Tower for many years to come. And with that, operator, we can open up the lines for questions.
Operator: [Operator Instructions] And we will go to the line of Simon Flannery with Morgan Stanley. Please go ahead.
Simon Flannery: Great. Thank you very much and good morning. Tom, I think you talked about some of the deals you've been doing over 2021. And I wanted to get a sense of your -- how do you think about M&A from here. There's a lot of portfolios available in Europe. Obviously, the public equity valuations have pulled back. So I'm not sure if there's been an adjustment on the private side as well. But how are you thinking about the opportunities out there to continue to build your business? And about what the optimal mix between regions and assets are over the medium term? And then just a housekeeping question for you, Rod. You talked about some of the churn in Latin America. You didn't call out Oi. Any update on what the recent Oi transaction and the regulatory approvals means for this year and beyond?
Tom Bartlett: Sure. Simon, I'll do the first and then, Rob, you can talk about Latin America. Simon, with regards to M&A, I mean, it's no different than we've been looking at things for the last two decades. We are -- because of our sheer size and our presence, we get invited into looking at just about every transaction that we see going on around the planet. And we evaluate them. We have business development teams in every one of our markets. Clearly, the focus for us right now is looking at opportunities in Europe. But it's -- as a result of the Telxius transaction and what we've done there before, we do have terrific scale in some of the critical markets in that region. And as you saw Rod just talk about, we're seeing really -- as we expected, given where the markets are from a 5G perspective, it's really outsized growth in 2022 going forward as the spectrum is deployed and as 5G gets rolled out. And as you said, there are a lot of portfolios there. And we are looking at all of them. A lot of it, we've seen it in the public realm and we've had ongoing discussions. But clearly, we're looking at it very, very carefully, looking at what would be the real opportunity there going forward, a very disciplined look in terms of valuation. So, it's really impossible at this point in time to speculate in terms of success in those. But we will clearly evaluate them and look at them and determine whether we can create long-term value as a result of those transactions. We have a very diverse portfolio which has really proven to be, I think, very valuable over the last 10 years as we've looked at the growth across the regions that we have. And Europe had been that particular market where we did not have the significant presence. And now we do and we're taking advantage of that growth. So we'll continue to evaluate those opportunities. And as I said, it's really difficult to predict what the outcomes might be but we'll continue to take a very disciplined review of those options.
Rod Smith: Simon, thanks for the question. I hope you're doing well. So in Latin America, just to recap here, we're guiding towards just above 6% organic tenant billings growth. And that's really driven by solid organic new bids. So we've got about 3.3% or so contributing from an organic new builds perspective. And we're also seeing outsized escalators. So we've got escalators in above 8% in that market. So nice strong escalators there. And that really is sort of an inflation hedge that we have in the Latin American markets. But we are seeing temporary elevated churn. So we've got about 5% churn coming out of Latin America. The churn that's in the outlook for 2022 is primarily Telefonica up in Mexico and then Nextel down in Brazil. Oi doesn't really play into the equation quite yet. We do have a long-term contract with Oi. So that will play out over the next seven years or so. And we'll see where that goes. I don't want to get ahead of anything that may happen in the market there from a regulatory perspective. But it's not really a main component in our 2022 numbers and we've got protection there out over seven years. And the Oi revenue is in and around 1% of our total revenue.
Simon Flannery: Great. Thank you, Rod.
Operator: And our next question is from Michael Rollins with Citi. Please go ahead.
Michael Rollins: Thanks and good morning. I'm curious if you could unpack a little bit more of the domestic levels. And with AT&T talking about starting to deploy in the second half for mid-band, DISH deploying their network and Verizon continuing to build out the C-band, T-Mobile expanding and integrating, can you give us a sense of sort of what activity levels or activity assumptions are in the number? And if there's some opportunity, depending on how these expertise work their way through the system to influence performance this year and heading into next year?
Rod Smith: Nice to have you on the call. Thanks for joining us and thanks for the question. So the U.S. market in terms of organic growth or organic new builds is really quite strong. We continue to see all of the major carriers being very active. And the place that, that shows up initially, maybe as an early indicator here, is within our services business. So once again, we're guiding towards services revenue above $220 million, so still well above kind of historical levels, a little bit below where we were in 2021 but still a nice solid level of services activity. And the margins there are still coming in at 55% right where they normally do. And then when you think about the U.S. organic growth here, we're guiding towards 1% or so. And I'll give you the piece parts there. So organic new business is slightly up from where it was from the prior year in terms of a percentage basis; so that's about 3.3%. Escalators are holding very firm, slightly ahead of where they were in 2021. They're coming in at 3.1%. And then we have cancellations coming in at about five -- a little over 5% and that is primarily driven -- at least the outsized churn there is primarily driven through the Sprint churn that we've all talked about. In terms of going forward, you do know that we've got MLAs with most of our carriers, where we've got kind of lock-in revenue as well as revenue growth. So 3/4 of the ramp is in there. Even in our long-term guide, we do have about 2/3 or so of not only the underlying revenue in the guide but the actual growth locked up in MLA. So nice really clear visibility in terms of the growth that we see going out. We do have one customer that's on an à la carte basis. So as they begin to deploy, we do expect that to ramp towards the back half of the year. And we also have the agreement with DISH which we've talked about in the past, that is beginning to produce revenue for us this year. That will escalate through the year, so we'll see a ramp-up during the year from that. And then it will continue to ramp over time. And that's what really gives us the confidence to put out the long-term growth rates that Tom talked about and getting back up into that mid-single-digit growth rate sustainably in the U.S. And then the final point that I would make is the colocation and amendment contributions to organic new business. For the year, we're guiding around $150 -- $150 million. And that's up from the level in 2021 which is close to about $130 million or so. And that represents a solid 15% year-on-year growth rate. So we're quite pleased with what we see in the U.S. from a gross growth. And the churn that we're seeing is temporary will subside and then we think growth will return into that mid-single digits in the U.S. over the long term.
Michael Rollins: And just a follow up briefly. So for the national carriers that you have MLAs with, is mid-band 5G covered under those MLAs? Or might that be something that has to get figured out in the future?
Rod Smith: No, I think when you think about the MLAs that we have, it's based on use rights and a use-right fee that's all incorporated. So to the extent that their activity level fits within the use right bucket, then it's covered. To the extent that their activity level goes beyond what was contemplated and what was granted to them in the use right, then that would be upside. And certainly, anyone that's on an à la carte basis, it's a pay as you go. And there's certainly upside there, depending on how quickly they deploy, how best they deploy. And we do see in the U.S. that things are continuing to heat up. We're expecting north of $30 billion once again in terms of carrier CapEx and that bodes very well for our short-term as well as long-term tenant leases here. So we -- and we're excited about 5G in the U.S. and all the C-band spectrum that's been auctioned off and that is out there that will eventually be deployed and we're seeing lots of activity as well.
Michael Rollins: Thanks.
Rod Smith: Thanks, Michael.
Operator: And our next question is from Ric Prentiss with Raymond James. Please go ahead.
Ric Prentiss: Thanks. Good morning, everyone. Glad you guys are doing well. I hope you continue to stay well. A couple of questions. First, I appreciate the color on what your assumption is as far as the equity component, about half of the $10 billion total, about $5 billion equity rates common as an assumption. How should we think about the gating factors of what would -- what are you waiting for to go to market? Obviously, there's some overhang on the stock as we wait for the offering. How should we think about what are the gating factors on go-to-market? And update us a little bit on what might be going on with private capital in that aspect.
Tom Bartlett: Sure, Ric. So the gating item is really sorting through the kind of the different options that we have ahead of us. There may be an element of common equity that we deploy here. And for modeling purposes, for outlook purposes, we are assuming that it's half of the $10 billion. Certainly, when you think about that equity offering, we did go through a tender offer. That tender offer resulted in us closing right at the end of the year and then we deal with open windows and closed windows and when, as a company, we can go out to market. And that kind of pushed us into January which was beyond Q4. And then looking at the way Q4 rolled out, we couldn't go out with equity at that point. So there's a lot of complicating factors kind of in there. But certainly, we have windows that open up here shortly and then again in Q2. But with that said, we're focused on the long-term value creation from CoreSite which is a high-quality, very interconnected network and cloud-centric set of assets that we think, over the long term, is going to drive a lot of value. So we want to make sure that we put the right financing together. And if that takes a little bit more time to get the right pieces put together, then that's what we'll do. And with that said, the common equity that we have in the assumption is an assumption. We're also out looking at private capital partnerships. We're also looking at mandatory convertible preferred instruments. And we'll make the best decisions based on market conditions, terms and conditions of any potential private capital and we'll make those decisions. Again, as I said in the prepared remarks, always with the -- in the best interest of the shareholders in mind and minimizing dilution is always important to us. So we take that very seriously. And then also making sure whatever we do stay solidly within the framework of investment-grade credit. That's another thing that's very important to us.
Ric Prentiss: A lot in the calculus. I want to follow up on one of Simon's questions also. As Tom, you mentioned there's a lot of portfolios discussed out there. What about other asset classes, fiber, data centers, beside towers in Europe or other venues, how interested are you in fibers or data centers outside the U.S.? And we get the question a lot with CoreSite, do you need to spend a lot on kind of replicating in Europe the data center concept of what you've gotten with CoreSite?
Tom Bartlett: Yes. No, thanks, Ric. I mean outside of the United States, our focuses are clearly tower portfolio. We do have some initiatives going on with regards to fiber down in Latin America. We actually do have some smaller data centers, candidly down in -- down in Latin America as well on a very small scale. The reason for, clearly, the CoreSite acquisition was really in the United States, that's where we think that edge grid is really going to be developed first. And we'll look at that as clearly the market to develop that strategy and then evaluate options to be able to expand that, to the extent that it makes sense outside of the United States. So the platforms that we're really seeking outside are largely driven by the tower. We have a lot of tower and fuel initiatives going on, particularly in Africa as well as in India. So we consider that a platform extension, if you will, Ric, where we're really trying to reduce the overall carbon footprint, improve the quality of the site, reduce our overall diesel consumption similar to -- really consistent with what we're trying to do with our science-based targets but offering even more value to our customers through our more efficient power and fuel initiatives. But we will really develop the kind of that data center model, the interconnected model with our tower portfolio within the United States. And so outside of the United States, it clearly is a tower focus.
Ric Prentiss: Great, that helps. Appreciate it guys. Stay well.
Rod Smith: Thanks, Ric.
Operator: And our next question is from David Barden with Bank of America. Please go ahead.
David Barden: Hey guys, thanks for taking the questions. Maybe just if I could do a couple of quick ones. I guess, first, Tom, could you maybe talk us through, at the end of the day, who the new leadership team is for the CoreSite asset? And then, Rod, just to follow up on Ric's question. Given the valuation you guys paid was very strategic and a kind of a very competitive process and the markets pulled back, is it plausible to believe that there is private capital out there that would want to pay what you paid for a stake in that business? And then I guess my last follow-up, if I could, Rod, was you mentioned that you're going to be getting some termination fees coming from Latin America. Could you kind of put some numbers around that for 2022?
Tom Bartlett: Yes, Dave, I'll just take the first one. It's a quick one. I mean Steve Vondran, who is President of our U.S. business, is responsible for the CoreSite investment in the business. Juan Font who is within the business, who's a terrific leader, is actually responsible for running the CoreSite business, working directly for Steve? Rod.
Rod Smith: Yes and David, I'll tackle the next two. So on the private capital side, yes, I think it's absolutely plausible to think that there are investors out there that see the long-term value and value creation within the CoreSite assets. We do believe that the CoreSite set of assets is amongst and of the highest quality portfolio of highly interconnected, cloud-centric, network-centric data center-type assets out in the U.S. and they're strategically placed across the country from West Coast to Central, over to the East Coast as well. So the locations are perfect in terms of being able to tie into lots of our towers across the globe. So as we look at this and we look through kind of short-term volatility in the equity markets as well as even with interest rates and things like that, I think it's very plausible. And we're very encouraged by the fact that there are a number of investors out there that see the long-term value and value creation here and believe in the transition of some of these data center assets into more distributed cloud on-ramps, more distributed compute power and tying that up with tower companies and the traditional tower company customers. So that's a long way of saying, yes, absolutely, I think people would be interested in this. But with that said, our options are all kind of open and on the board and we'll be evaluating that over the coming period of time. And then in terms of the termination fees, it's in the range of $40 million that you'll see kind of come through the numbers in 2022, really kind of flat with what we experienced in 2021 as well as in terms of termination fees.
David Barden: All right, awesome. Thanks, guys. Appreciate it.
Rod Smith: Thanks, David.
Operator: And our next question is from Matt Niknam from Deutsche Bank. Please go ahead.
Matt Niknam: Hey guys, thanks for taking the questions. Just two, if I could. First, just to go back to data centers. We're about two months in post-deal close. I'm just wondering if you can share maybe the initial playbook for those assets, the CoreSite assets and more specifically, plans on potentially expanding the footprint beyond either the existing markets domestically or internationally. And then secondly, just to pivot to India because that's the one region I believe has not come up yet in Q&A. Can you just talk about what's driving the improvement in the outlook there in 2022? And maybe more broadly, give us any updates you're seeing in terms of the overall demand backdrop there for the carrier customers.
Tom Bartlett: Matt, let me take the first one and Rod can take the second one on India. Yes, we are. We're about two months into the transaction. CoreSite had a strong finish to 2021 and we expect even a stronger set of growth metrics for in 2022. I mean there, we're moving through the integration process, as you would expect. Rod talked about the financing element of it. And we have teams looking at all of the opportunities to create synergies between the tower business as well as the data center business. But we're going to enjoy all the underlying growth that's coming from the business itself. We're integrating the data center companies that we had, albeit on a small scale, clearly compared to CoreSite into the CoreSite business. So there are a lot of activities going on from an integration perspective. On the commercial side, there are a significant amount of customer conversations, discussions, proof of concepts that are being developed and worked through on a number of different fronts with a number of different types of customers, the cloud service providers, the MNOs. And so there are continued initiatives going on to look at the opportunities to be able to bring our vision to the market. And it's not going to happen overnight. But in the meantime, we have the ability to really enjoy the underlying growth and the positioning that CoreSite has. And they have some development that's going on within their own portfolio this year in terms of building out some of the data centers that they've got. But as I said, the underlying growth trends are greater than they were in 2021. So we're really excited about the leadership team that we've got in place and the opportunities that we're going to see -- come to fruition over the next couple of years.
Rod Smith: And Matt, in terms of your question around India, I'll hit a couple of highlights here. So in India, I think you're probably aware that the backdrop of the telecom environment is improving quite a bit and has done so in the last several -- certainly the last several quarters. The government has really stepped up and shown support for the wireless segment and the telecom segment. In addition, the carriers themselves have increased the tariff. So there, they've got healthier businesses as they go forward. And specifically to Voda, you've seen probably just recently even their intentions to monetize part of their stake in the India's portfolio to improve liquidity. They also chose to have some of the interest on their spectrum do's and their AGR fees going back to transitioning that from a liability to the government and swapping it for some equity. So they've greatly improved kind of their balance sheet. And now they have a much longer runway. Really, the whole sector has a much longer runway to kind of sort through the environment there. Because of those things, we are seeing churn subside in the marketplace and we've seen that over the last several years. So in India, specifically, we're guiding to 2% to 3% positive organic tenant billings growth. That comes with 5% gross organic growth, a 2% escalator which is contractual throughout all of our leases there and about 4.5% churn. That churn rate is down from over 10% in 2021. So that's where you see sort of the biggest improvement there. And the other thing I would say is we think the India marketplace is going to be very constructive here over the long term. Certainly, there's a large population. The networks are in early stage of development. They need a lot more infrastructure and the Indian subscribers really do consume lots of data in there. So we think that the market is still trying to absorb some of these positive changes that they've seen. And once that happens and all the carriers kind of get used to the new environment there, we should see churn continue to decline over time as well as gross new business increase over time. And those are the things that kind of get us back to that upper single-digit growth rate potentially. But as of now, we're fairly cautious around India in terms of our outlook and projections. And even in the long-term guide that Tom talked about earlier, that 10% AFFO per share growth, we have fairly modest improvements built in there for India, not getting back up to that full upper single-digit growth rate. So there's upside from that perspective if India continues to improve over the coming quarters and years.
Matt Niknam: Very helpful. Thank you, Rod.
Rod Smith: You're welcome.
Operator: And our next question is from Brandon Nispel with KeyBanc. Please go ahead.
Brandon Nispel: Awesome. Thank you for taking the question. You guys gave the $150 million in colocation amendment guidance for the U.S. business in '22. It's clearly up year-over-year but still well below 2018 and 2019. I was hoping you could help us understand the primary differences between what was happening in 2018 and 2019 versus your 2022 guidance and maybe where we're going. Then in relation to that $150 million number specifically, could you help us understand what percentage of that is fully contracted versus your expectations for billings coming in more à la carte?
Rod Smith: Sure, Brandon. So in terms of looking backwards to 2018, I don't want to go through too much detail between the two. But certainly, back in 2018, there was an explosion of activity in the U.S. from all the carriers. That was a time when we had all the carriers, including Sprint, investing heavily and contributing to our revenues in a pretty heavy way. So Sprint was a big contributor back then. And it was at a time when AT&T was also aggressively building out the FirstNet network. So those two things were kind of unique around 2018 and those aren't repeating. So we're very happy with where we are in terms of the colocation amendment contributions in 2022. We do see that accelerating into the back half of 2022 and we expect that acceleration to continue going out. And again, a lot of that growth, even beyond '22, is contracted in the holistic MLAs that we have. So we have visibility to that growth. So we do think we're entering a multiyear cycle of acceleration when it comes to that organic new biz, the colocation and amendment piece of it. And what was the other question that you had? The $150 million...
Tom Bartlett: Rod, I would just...
Rod Smith: Would you like to add on?
Tom Bartlett: Yes, I would just add on that one particular piece. When you think about kind of '17, '18, '19, it was kind of at the latter end of kind of the heavy 4G investments. And you would typically see that with new technologies going in place. So my sense is that that's what we would start to see when we think about 5G. We're just in the early stages. The carriers are starting to clear and roll out C-band. I mean, we'll start to see it even the end of this year when we start to get into ramp up on the organic growth rates. But as 5G takes hold and continues to develop and densifies, we would expect that similar type of growth ramp up clearly with 5G. And yes, as Rod said, Sprint was very active back at that point in time, obviously, not around any longer. But with DISH now in it's place, hopefully, they would be able to be that kind of fourth agent there and really driving that kind of growth.
Rod Smith: And Brandon, I think your other question was around the percentage of the $150 million that was contracted; it's in around 3/4.
Brandon Nispel: Okay, thank you.
Operator: And next, we have a question from Jonathan Atkin with RBC. Please go ahead.
Jonathan Atkin: Thanks very much. So in the slide deck, you talked about Telxius driving a lot of growth in international. I wondered if you could give us a little bit more color on contributions and which particular markets that, that came from? And then maybe related to the very first question around M&A but you talked a lot about kind of 5G and edge. And I wondered how does that affect your prospective CapEx profile across which sorts of assets? You also have fiber which hasn't come up a lot on this call in LatAm, for instance. So across assets and regions, how does 5G and Edge kind of affect your incremental CapEx going forward as well as affecting the types of assets that you might look at a little bit more seriously going forward compared to in the past?
Tom Bartlett: Sure. No, Jonathan, I mean let me start and Rod can add in. But from a European perspective, clearly, much of the growth is coming in Germany, where they've been very aggressive in terms of rolling out 5G as well as in Spain. So I mean those are our two critical markets there. But Germany is really going to be, I think, really driving a lot of it and we're seeing a lot of activity in Spain as well. From a CapEx perspective, maybe you can take a look at even our projections for 2022. I mean, it's largely driven by our tower portfolio. There are certain development activities within the data center assets in the United States building out but it pales in comparison to what we're expecting on the tower CapEx side. We're looking at a major generator rollout for a large customer in the United States which is a piece of it. And we're also looking to build another 6,000 to 7,000 sites. So if you look at over the last several years, we've built probably cumulatively about 20,000 sites and we have significant expectations for continuing that kind of a trend and '22 is no different. And so as 4G and as 5G is developed around the world, we continue to see the need for new build-to-suits and that is the best use of our capital. With regards to fiber and some of the other assets, John, I'd tell you it's de minimis. I mean it's very, very small. And in many cases, they were just science projects, where we're still trying to see if there's really an opportunity in those markets. But -- and I would see that trend candidly for the next several years, that the direction for capital is going to be driven to the tower base of assets, again, largely driven to the development side of building out new sites and very little spend on some of the fiber portfolios or fiber assets outside of the United States. And John...
Jonathan Atkin: Go ahead, yes.
Rod Smith: Sorry, Jonathan, I'll hit the question on Europe and Telxius. So as you saw from the prepared remarks and in the slides, we are looking at about 9% organic tenant billings growth in Europe; so a real strong upper single-digit number. That compares to 2021 which was around 5%; a couple of the drivers there. We are seeing solid organic new biz up around 6% or so for the market. The escalators are up a bit, so we're up at around 4.5%. Escalators, the churn is down from 2.4 in 2021 down to 1.4 in 2022. A lot of that is directly driven by the Telxius assets which are very low to no churn assets the way the contracts are written and kind of from a structural standpoint. So that reduction in churn, at 100 basis points, you can really ascribe back to Telxius. And that gives you the 9% organic growth rate. I would say, we're seeing our best growth here in Germany. But even if you pull away the Telxius assets that are adding to the overall growth here, we're still seeing north of 6% or so of growth in the legacy business kind of across Europe. A couple of things that I would point out. In terms of the 9%, we do expect that to moderate throughout the year and be lower in the back half of the year after we kind of lap having Telxius on for a full year. So we're looking at about 7% organic growth in the back half of 2021. And then beyond that, we are looking at Europe not being at 9% but being kind of in that mid-single digits and upper single digits. So in Germany, we're still looking at 6% to 7% organic tenant billings growth in that market. And across all of Europe, we're looking at mid-single digits, let's call it, 5% to 6% organic growth in Europe even beyond 2022.
Jonathan Atkin: And then just in terms of potential private capital partnerships, any kind of a refresh that you could give us on just the criteria that you would have from, whether it's a governance standpoint or strategic, what they bring strategically to the table or the financial criteria that you employ when you evaluate potential private capital partners?
Rod Smith: Yes, Jonathan, I'll keep it at a fairly high level here. And I don't want to over emphasize the private capital or any of these different elements because we're still working through the process. And when we do land on our optimal financial plan here, we'll let you know. But in terms of our criteria, we certainly look well beyond just capital. So as we did with Telxius, we want to know that we've got world-class, large investors with us that have the same or similar mindset around the specific assets, the region and the future of those assets. Because additional capital and really having a partner that wants to grow in terms of this asset, it's going to be around exploiting this asset in terms of that cloud distribution, that heavy interconnection and then eventually moving to the edge or the metro edge. So we certainly want someone at the table with us that has a similar vision there, that is excited about that and again, doesn't get too wrapped up in a short-term equity volatility but see for long-term investment. And certainly, the investors that we would talk to, just like in the Telxius process, are long-term investors. They're 15-year to 30-year investors. They're not 5-years and also that's what we -- that's what we wanted. And we also really like investors that are very experienced and investing. We like having people at the table with us talking about ways to grow, how to grow. And we find a real value to that. So I would just maybe emphasize the fact that our partnerships in Europe with CDPQ, Allianz and PGGM has been very good for us, not just for the capital but for a lot of other reasons. So we couldn't be more pleased with the way that partnership has unfolded. And if we were to do something in the U.S., it would be -- we would be equally as optimistic around the good relationship, the shared vision and those sorts of things. And of course, governance in terms and conditions are always important to us in value. It's something we take seriously. So we'll certainly be working through that but that will be a criteria that will be on the table.
Jonathan Atkin: Thank you.
Rod Smith: You're welcome.
Operator: And ladies and gentlemen, our final question will come from Batya Levi with UBS. Please go ahead.
Batya Levi: Great, thank you. Two quick follow-ups. Can you provide the geographic mix of the 6,500 new builds this year? And just the -- on the U.S., $150 million of new colo amendment. What's the colo versus amendment mix? And how should we think about the pacing through the year?
Rod Smith: Yes, Batya. So I'll hit the first one here for you. So we're looking at around, for 2022, about 6,500 new builds. As in the past, it's heavily concentrated in the India region. So north of 4,000 roughly and these will be rough numbers in India. The next largest region is going to be in Africa which is going to be in the range of 1,900 or so, then we drop. And Latin America and Europe are pretty equal at around 500 sites each. And I'll just remind you that in Europe, we're building a lot of towers there through the Telxius transaction, came with a 10-year build-to-suit commitment of 3,000 sites over that time period. So we're actively building those assets. We're also building assets for Orange across Europe which the way they show up in our numbers, it kind of comes through as more in terms of an acquisition because they build them and kind of flipping to us but it really is sort of a build-to-suit program as well. So we couldn't be more pleased with the way that our build-to-suit program is working and unfolding. We continue to see double-digit NOI yields kind of across the mix here of all these regions which is really good. So we are solidly kind of on track to hit that 40,000 to 50,000 new builds that Tom had talked about in the past. And then in terms of your other question, when it comes to the split between amendments and colos, there's not a lot of detail that I'll get into from that perspective. A lot of our revenue is under the MLA agreements which again is more used rights than fixed fees and not so much ascribed to a colo versant amendment. We're still seeing heavy amendments in the industry by and large. Certainly, there's one carrier that might be a little bit more weighted towards co-location. But we're still seeing in terms of the activity level, heavily weighted towards amendments but I wouldn't want to try to split the $150 million because that's not the way that our contracts work in terms of the revenue.
Batya Levi: Got it. Thank you.
Rod Smith: You're welcome.
Operator: And speakers, I'll turn the conference back to you for any closing comments.
Tom Bartlett: Thank you very much, everyone, for joining us this morning. I know there's a lot of news around the world. I hope you all stay safe and well. And again, just appreciate you all being here this morning. To the extent you have any further follow-ups, please give us a call. We are clearly by the phones waiting to talk. So, thank you all.
Rod Smith: Thanks, everyone.
Operator: Ladies and gentlemen, that does conclude your conference for today. Thank you for your participation. You may now disconnect.